Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Carlisle Companies Fourth Quarter Earnings Conference Call. [Operator Instructions] I will now turn the conference over to David Roberts. Please go ahead.
David A. Roberts: Thank you, Kathy. Good morning, and welcome to Carlisle's Year-end 2014 Conference Call. On the phone with me is our Chief Operating Officer, Chris Koch; our Chief Financial Officer, Steven Ford; our Chief Accounting Officer, Kevin Zdimal; and our Treasurer, Julia Chandler. 2014 was another record year for Carlisle as we generated full year record sales, record EBIT and record net earnings. As we ended the year, fourth quarter sales were a record but earnings were below our expectations. For those of you who listened to our January 20, 2014, prerelease call, you heard me explain the onetime charges that negatively impacted the fourth quarter. I will review those charges again as we go through this presentation to remind you of the nature of those expenses. Before I get to the details of the fourth quarter, I ask that you turn to Slide 2, entitled Forward-Looking Statements and the Use of Non-GAAP Financial Measures. I strongly encourage everyone considering an investment in Carlisle to read these statements in detail, along with reviewing the financial reports we filed with the SEC before making any investment decision. These items explain the risks associated with investing in our stock, which is traded on the New York Stock Exchange under the symbol of CSL. As we start our review, please return to page 3. As we review Slide 3, you'll see that our sales in the fourth quarter were up 9%. 6% of the growth was organic, while the additional 3% was the result of the LHi acquisition that we completed early in the fourth quarter. By business segment, CIT grew 16% organically, driven by very strong aerospace sales; and Construction Materials grew 5%, driven by a healthy nonresidential construction market. LHi, which we added on October 1, 2014, provided $26 million of CIT sales. CCM sales grew 5%, which was slower than we expected but was equal to market growth due to an early onset of winter in November and a lasting effect into December. At CBF, we saw lower sales due to a softening Ag market and mining market that remains in the doldrums. At FoodService, sales were also weak in the quarter as health care market was coming off a very difficult comparison from the fourth quarter of 2013. EBIT was unlevered for the quarter, down 4% compared to 2013 due to plant startup costs, other costs at CCM, acquisition cost at CIT and work force reduction costs at CBF. EPS for the quarter was $0.81 and $3.83 for the full year. Free cash flow in the quarter was $105 million, up 60% compared to 2013. Slide 4 details our sales bridge. Price was negative in the fourth quarter due to selling incentives at CCM and lower selling prices at CIT. Volume was a healthy 7.2% growth with that growth coming from our 2 largest businesses, being CCM and CIT. The acquisition of LHi accounted for another 3.6% of the growth, while FX had a small 0.5% negative impact. The EBIT margin bridge on Slide 5 show that volume had a 0.7% positive impact, and COS yielded another 0.9% of positive impact. On the negative side of the ledger, the combination of price, primarily selling incentives, and raw material had a negative 0.9% impact, with price somewhat offsetting the positive raw material variances we had at CIT. The dilutive impact of the LHi acquisition accounted for 0.6% and other costs were negative 1.6%. Reviewing other starts with a comparison of 2013 gains of approximately $5 million comprised of $1.6 million for the sale of our Kent, Washington facility; $1.9 million for the sale of written down solar inventory; and the release of a $1 million medical accrual. This compares to approximately $6 million in higher cost in 2014. CCM had $900,000 in cost to exit a Smithfield, Pennsylvania product line. Plant startup cost at Greenville and Carlisle were $3.4 million, which were $2.5 million higher than last year, and additional customer concession costs of $1.3 million along with higher medical cost of $1.3 million. Starting with Construction Materials on Slide 6, we begin our review of the individual business segments. Sales at CCM grew 5% in the quarter. As a reminder, we grew 16% in the third quarter and that momentum carried us into October of 2014. We were off to another double-digit growth quarter until the early onset of winter hit in November, blanketing the U.S. in snow and moisture. That weather impacted, not only November sales, but also had a dampening effect on December. Despite the shortfall in November, we grew 5% in the quarter. Any product that wasn't sold in November or December was not lost but rather postponed and should be sold in 2015. The reroofing and the nonresidential construction markets in the U.S. continue to strengthen. Pricing was lower due to selling incentives rather than price reductions in the quarter. Volume was up 6.8% and FX was negative 0.4%. EBIT was down 12% in the quarter compared to 2013. The plant startup cost, the product line closure in Smithville, along with higher medical costs that I mentioned earlier, were the culprits. The expenses for plant startup and the product closure costs were $4.3 million. This compares to 2013's fourth quarter $3.5 million gain on the sale of our Kent facility and 0 inventory value solar equipment being sold. We also had a difference in medical expenses between the accrual release in 2013 and higher cost in 2014. For the full year, sales were a record $1.94 billion, generating EBIT margins of 13.9%. Slide 7 details our record-setting performance at CIT. Quarterly sales grew 34% with more than slightly more than half of the 18% coming from the acquisition of LHi. Our organic volume was up 17%, slightly offset by price. Aerospace was up 18%, military was up 10%, and test & measurement was up 48%. Test & measurement sales were driven by one telecommunications customer. Industrial remains soft, down 11%. Many of our industrial customers are similar to our braking customers. Thankfully, industrial represents a very small percentage of our overall sales at CIT. EBIT was up 40%, a record for our fourth quarter despite getting very little earnings support from the acquisition of LHi due to purchase accounting. We also had $2.4 million of acquisition charges associated with LHi in the quarter. Margin was up 70 basis points to 17.5% as EBIT dollars were $33.5 million compared to $24 million last year. For the full year, we registered record sales of $669 million and record EBIT earnings of $132 million at 19.8% margins. We had a very good year at CIT indeed. Slide 8 details the quarter's results at Brake & Friction. Overall sales were down 5% as the Ag sales declined 32% compared to last year. Mining remains in the doldrums, down 18%. One bright spot for the business is that construction was up 14%. We think this trend should continue based on the strength that we see in nonresidential construction at CCM. EBIT margins were down 520 basis points because of lower factory volumes plus severance costs as we adjusted our cost structure to the current level of production. We had approximately $1 million in severance costs and $1.1 million in slow-moving inventory charges in the quarter. For the full year 2014, our sales were up 2%, while our earnings were down 20%, mainly due to price reductions and cost alignment initiatives. We finished the year with 7.5% EBIT margins. At FoodService, our sales were lower 2% compared to 2013 on year-end rebates and incentives. By category, FoodService sales were up 1%, Jan/San was up 3% while health care was down 8%. The health care market remains strong but we had a tough comparison in the fourth quarter. This should be the ongoing theme as health care equipment sales will peak and valley quarter-to-quarter. Quarterly EBIT was down 12% due to rebates and incentives that affected our sales. Full year sales of $244 million and EBIT was approximately $30 million, established a new earnings record. EBIT margins were recorded at 12.1%. The cost savings as a result of COS were the main driver of improved profitability at FoodService. Slide 10 details our overall company results for the full year. As a company, we generated record sales, EBIT and net earnings in 2014. Sales were up 9% to $3.2 billion. We grew 8% organically and 1% through the acquisition of LHi. We earned $408 million of EBIT earnings during the year, generating EBIT margins of 12.7%, 20 basis points higher than 2013. Plant startup costs, higher operating expenses and lower selling prices, along with higher freight cost, prevented us from eclipsing the 13% EBIT margins we were expected to generate in the year. 2014 EPS was $3.83, up 6% compared to 2013. In 2013, our EPS was $3.61, which included a tax benefit of approximately $12 million or $0.18 per share. Slide 11, 2014 segment sales; Slide 12, sales bridge full year 2014; and Slide 13, EBIT margin bridge full year 2014 are included in the presentation for your reference. Steve will be reviewing Slides 14, 15 and 16, but I want to point out that our working capital, detailed on Slide 16, improved another 90 basis points from 18.7% at the end of 2013 to 17.8% at the end of 2014. Overall, 2014 was an excellent year. This concludes my review of the business segments. Steve will now review our balance sheet, cash flow and working capital slides. Steve?
Steven J. Ford: Thanks, Dave. Good morning. Please turn to Slide 14 of the presentation. We ended the year with $731 million of cash on hand. On October 1, we acquired LHi for $195 million using our cash on hand. We also planned to fund acquisition of Fluid Technologies with our available cash. Following the Fluid Technologies acquisition, we expect to continue to have all $600 million of availability under our credit facility, leaving us ample liquidity to further pursue our long-term growth objectives and return capital to our shareholders. Our balance sheet remains strong. We had net debt of less than $20 million at year end. Following the Liquid Technology acquisition, we expect our net debt to capital to be less than 25%. Turning to Slide 15. Our free cash flow from operations for the 3 months ended December 31 was $105.5 million, $39.4 million higher than the prior year. For the full year, we generated $171.1 million of free cash flow from operations, a decline of $126.8 million compared to the prior year, primarily reflecting the disposition of transportation products, increased cash for working capital attributable to higher sales and increased capital expenditures. Turning to Slide 16. As Dave noted, our average working capital as a percentage of sales for the fourth quarter was 17.8%, a 90-basis-point improvement from the prior year. We further improved inventory turns, 7.3 turns compared to 6.9 turns, and continued to make progress toward achieving our long-term goal of 15% of sales. And with those remarks, I'll turn the call back over to Dave.
David A. Roberts: Thanks, Steve. Kathy, let's go ahead and open the floor for questions, please.
Operator: [Operator Instructions] Your first question comes from the line of Ivan Marcuse.
Ivan M. Marcuse - KeyBanc Capital Markets Inc., Research Division: The first one is your sales growth outlook, mid to high single digits. Does that includes Liquid Finishing being closed at the end of March? Or does not include it?
David A. Roberts: Not included, Ivan. That's not in there. And then any gains we get at LHi are also not included in there. We think LHi will grow a little faster than what we had.
Ivan M. Marcuse - KeyBanc Capital Markets Inc., Research Division: Got you. And then if you look at your -- at the Construction, how much was replacement up in 2014 or -- yes, how much was replacement up?
David A. Roberts: Wait. I don't have that number in front of me, but I think it was very high single digit, if I recall. You're talking about the reroofing market, right?
Ivan M. Marcuse - KeyBanc Capital Markets Inc., Research Division: Yes.
David A. Roberts: Yes, it was up high single digits. The thing that we're starting to see is the mix again is headed back toward where it was in 2007. We're seeing a higher mix of new construction along with reroofing. I think the last I saw, it was almost 40% new, 60% reroofing with both markets very strong.
Ivan M. Marcuse - KeyBanc Capital Markets Inc., Research Division: Got you. With that high of a comp, would you expect the reroofing market to continue to grow?
David A. Roberts: Yes, we...
Ivan M. Marcuse - KeyBanc Capital Markets Inc., Research Division: Or is that pretty tough for 2015?
David A. Roberts: No. We think that reroofing will continue to grow as we go.
Ivan M. Marcuse - KeyBanc Capital Markets Inc., Research Division: Got it. And then, is there -- last question, if you look at your working capital and looking at oil coming down, how does it -- how it's going to attack a variety of your raw -- the raw materials that you used, do you expect -- could working capital be a source of cash this year? Or do you have any sensitivity or thoughts around that?
David A. Roberts: Well, yes. We're at 17.8%. I mean, we're getting close to that -- closer to the 15%. I think what we might end up seeing this year is, with the inclusion of LHi and the inclusion of Fluid Technologies, we might see a bit of an increase in working capital. I really don't -- haven't seen the numbers forecasted with those 2 in, but we'll -- we would expect to continue to make improvement. But the question now is, what hard work has to be done to get us to 15%? We've made tremendous improvement over the last 5 or 6 years. Now the really hard work begins to get us down to 15%.
Ivan M. Marcuse - KeyBanc Capital Markets Inc., Research Division: Did -- do you expect to see the lower cost show up in your P&L in the first quarter? Or would that be more of a second quarter event?
David A. Roberts: I'm sorry. What was that? The lower...
Ivan M. Marcuse - KeyBanc Capital Markets Inc., Research Division: Lower cost from raw materials, is that -- do you expect...
David A. Roberts: Yes. It's a second quarter event. What we end up doing in the first quarter, we'll build inventory as we always do. It goes into inventory and any gain that we get goes into inventory. And then as we sell in the second and third quarter, we'll see that come up.
Operator: Your next question comes from the line of Matthew McConnell.
Deane M. Dray - RBC Capital Markets, LLC, Research Division: Actually, it's Deane Dray filling in for Matt McConnell. I was hoping, Dave, you'd give us some color on -- and a calibration on how weather actually ended up impacting the fourth quarter and maybe some insight into January. And I don't think the Northeast weather is helping you very much here so far in the quarter.
David A. Roberts: Yes. It -- as we got into the fourth quarter last year, October was up just about equal to what the third quarter ended at, so 16%, 17%. We got into November, we actually were negative in November, and I think it was 5% or 6%. And then we got into December, we had some growth in December, but it was all because of the weather that we had. December -- or January, without giving you a lot of guidance, January started out fine. As you say, at the end of the month, we had some weather issues in -- primarily the Northeast. And then last weekend, we had the Midwest and the Northeast that got hit. It hit pretty hard. So I don't know how -- we haven't seen the final numbers yet from January, but I would expect some impact. But I think we had enough weeks during January that we had good growth. It's just a question of how much it'll impact us at the end of the month and then into the start of February. Again, any weather impact we have is generally a short-term negative impact because we get that all back. If you look at last year, the first quarter last year was a tough quarter for us because of weather. And then we just had boomer second and third quarters. So we would expect to be able to recover whatever we lose in 1 quarter in the following quarters.
Deane M. Dray - RBC Capital Markets, LLC, Research Division: Yes. We've been through this -- the weather bridge between fourth quarter and into first quarter multiple times and just -- it's a question of timing. Never those -- that business doesn't go away. Dave, maybe expand on your comments about nonres. You sound a bit more optimistic and maybe just based on the indicators you're looking at internally within Carlisle, maybe some comments about which verticals you're beginning to see that strength.
David A. Roberts: Yes. We have seen -- obviously large flat roof buildings. So anything related to retail, warehouse, factory has been strong. We're starting to see municipality pick up. So we're starting to see activity in schools, other government buildings, which frankly, we haven't seen in almost a decade, primarily because they had no money. But we're starting to see schools being built. They were always reroofing them but they weren't building new, and we're starting to see new schools being built, some health care facilities being built that will drive new construction -- roofing on new construction.
Deane M. Dray - RBC Capital Markets, LLC, Research Division: And that's consistent with what we've heard from folks like Ingersoll Rand. They called out specifically schools and health care from their HVAC business. So it looks like that's beginning to develop nicely. Just going back on the questions on energy savings and the benefit and how it flows through. Would -- just give us your sense about the competitive dynamic. Well, is there a chance some of your competitors in roofing might use that energy savings to cut cost or cut pricing? And how much of that do you think you actually save versus have to give up?
David A. Roberts: Well, I only went to Indiana so I'm not the brightest guy when it comes economics. But when you think about it, you’re in an environment where the market is growing, there is some new demand -- or capacity has been added but the capacities getting filled, you would think that in that environment that people would hold onto price. And we're really, what we'd end up doing is holding out price we should have gotten last year as raw materials were going up. So we would expect that, certainly, in the first quarter, second quarter, we may be able to hold on to this price until some guy gets a little anxious out there for whatever reason I don't understand and they end up beginning to compete on price. But the environment suggests that you should be able to hold on price and an increasing volume where we're ending up working our factories 5, 6, 7 days a week trying to meet the demand.
Deane M. Dray - RBC Capital Markets, LLC, Research Division: Absolutely. I just like seeing you guys having the lowest foreign exchange headwind of the companies that we follow. You guys really do stand out and get the benefit of having that U.S.-centric business. So that's it. That's it.
Operator: Your next question comes from the line of Ajay Kejriwal.
Ajay Kejriwal - FBR Capital Markets & Co., Research Division: So maybe on CIT. It's good to see the solid volume, up 17%. Aerospace, looks like you had a nice quarter. So just talk about that a little bit. How much of that's Boeing versus any orders that you might have had that you're executing now with Airbus?
David A. Roberts: Yes. Most of that is Boeing. They continue to ramp up their production. Airbus really won't come on until probably a little later this year, Ajay, is when we'll start to see the impact of Airbus going to Nogales. We're getting ready. In fact, we're very close to opening the plant or at full production in the plant that we built on Nogales, and that will drive some of that volume that we get at Airbus. But the vast majority of the volume you're seeing is Boeing.
Ajay Kejriwal - FBR Capital Markets & Co., Research Division: Good. So as we think about '15, Boeing, I guess, is still predicting a little bit of growth. I mean, talk to us about overall segment-level growth rates. How should we be thinking about overall segments? Sounds like you're doing well in Industrial and other parts of the business as well. But at the segment level, is this a mid- to high single-digit grower in '15?
David A. Roberts: Do you mean CIT in particular?
Ajay Kejriwal - FBR Capital Markets & Co., Research Division: Correct.
David A. Roberts: Yes. Well, I think that CIT, we got the effect of AOC that will hit us this year. We've got the addition of LHi. I think that what you'll end up seeing is that probably overall, we'll grow organically, maybe mid-single digits, again, the effect of AOC. And then as you add in LHi, you're going to be ramping up another $125 million worth of revenue in there because of the acquisition.
Ajay Kejriwal - FBR Capital Markets & Co., Research Division: Good. And then maybe switching gears on CapEx. You're forecasting $100 million, a little bit less than '14. So how much of that's still growth related? I mean, are you going to be spending on newer factories versus how much of that's maintenance spending?
David A. Roberts: Yes. Most of that is maintenance. We've got some new equipment that we're putting into the Construction Material plants, and also, some new equipment going into CIT. So the vast majority goes into both of those businesses and it's primarily maintenance. I think it's going to be high maintenance spending this year. I think you'll see perhaps another reduction next year, if we don't need investments into Fluid Technologies. So I think the vast majority of maintenance spending will take place this year as compared to next.
Operator: Your next question comes from the line of Joel Tiss.
Joel Gifford Tiss - BMO Capital Markets Canada: Just a couple of things here. Steve, can you give us the free cash flow estimate for 2015?
Steven J. Ford: Yes, for 2015, we're forecasting that we're going to convert at about 100%. We've got some nice tailwinds coming in relative to where D&A and CapEx are going to be. That should be about a $25 million tailwind for us. And I think we won't have the same negative impact that we had this year with respect to our noncash equity compensation. So I think, we're forecasting 100% conversion for next year.
Joel Gifford Tiss - BMO Capital Markets Canada: Is that included in your 25% net debt to cap? Or is that -- is the 25%, is that after the Graco acquisition?
Steven J. Ford: The 25% debt to cap that reflects the acquisition.
Joel Gifford Tiss - BMO Capital Markets Canada: Okay. So by the end of the year, could be better than that. Can you -- I wonder, Dave, if you could spend 1 minute just going through the pricing expectations by segment or just to give us a flavor of what's going on? Because it sounds like everyone's asking around the edges but not really asking questions directly. Maybe that will help.
David A. Roberts: Yes. What we would expect in Construction Materials, I don't think it'll be an environment where we can get price. The key will be, can we hold onto price, again, that we should have gotten last year. So that's a -- I think that's what going to happen in Construction Material. CIT, you'll see a little bit of price degradation due to AOC. I can't really tell you what that is at this point, but you will see some price -- negative price at CIT. Brake & Friction, I think, will be relatively flat. And I think FoodService, we could see 1% or 2%, but I think it'll be relatively flat as well on price.
Joel Gifford Tiss - BMO Capital Markets Canada: Okay, great. And then last, just may be philosophically. What's -- where's best in class on working capital? Isn't that close to that kind of 15% or even 10% to 50%?
David A. Roberts: I'm sorry, you broke up. What was that on working capital?
Joel Gifford Tiss - BMO Capital Markets Canada: Your working capital. Where is the -- where's sort of the benchmark, the best-in-class guys on the benchmark versus your 17.5%?
David A. Roberts: I think we're there. It's just that we think we can do better. But as we look around a company, I think it 17.5%. That's pretty much world-class in our kind of a business.
Operator: Your next question comes from the line of Glenn Wortman.
Glenn Wortman - Sidoti & Company, Inc.: Can you just remind us how fast the Liquid Finishing Brands business is growing and then the geographic breakdown for that business?
David A. Roberts: Yes, it's -- first of all, geographic breakdown, more than 50% of it is outside the U.S. and it has been growing. Obviously, we've been tracking it. It's growing at mid-single digits, anywhere 4% to 7%.
Glenn Wortman - Sidoti & Company, Inc.: Okay. And then the pricing concessions that you've alluded to for CIT, were those fully reflected in the first quarter number? Or do you expect more concessions going forward?
David A. Roberts: No. If you're talking about AOC, those really took effect January 1. The pricing concessions that we talked at CIT were primarily driven by contractual requirements that as volume picks up, we would see some price decline. And that's the way most of our contracts are structured. We've talked in the past about learning curve. As you get up the learning curve, you become more productive and most of the contracts are structured that when that happens, price is given back at the same time. So in other words, margins should be maintained but you'll see a little less price.
Operator: [Operator Instructions] Your next question comes from the line of Tim Wojs.
Timothy Wojs - Robert W. Baird & Co. Incorporated, Research Division: Just on -- I don't know if this has been touched on yet, but just what are the -- you did about 20% EBIT margins in CIT this year. And just with some of the -- I don't know if there's any inefficiencies potentially within Nogales plant and then just the AOC. What should we think about for margins in CIT specifically for '15?
David A. Roberts: Tim, I think we'll start probably slightly above 15% at the start of the year and work our way back toward that 20% by year end.
Timothy Wojs - Robert W. Baird & Co. Incorporated, Research Division: Okay, okay, perfect. And then just on Liquid Finishing, just so I have this conception how we should think about it. If it does close by the end of Q1, will most of any sort of inventory or onetime cost, would that normally -- or mostly impact Q2? So really in the back half of 2015, we'd start to see pretty much full accretion from that acquisition?
David A. Roberts: Yes. If -- exactly right. If we close by the end of the first quarter, second quarter will have very little contribution on a profit side. Obviously, it's going to generate sales as we work through their existing inventory or the inventory basically marks up.
Timothy Wojs - Robert W. Baird & Co. Incorporated, Research Division: Right. Okay. And then just on, I guess, the M&A pipeline. You've done a couple of acquisitions in the last couple of months here. I guess, any update on just rebuilding that pipeline, where you are and maybe what you're looking at.
David A. Roberts: Yes, in -- really, my answers just about the same as it is every year. The -- early in the year, it's always -- we end up bringing something to the finish line toward the end of the year. The pipeline drains and then as we get further into the year, we get a few things that become active. Right now, I would say the pipeline is not empty. But it's not as full as would normally be at the end of the year. But I don't expect that to last for the entire year. Tim, our focus will be on medical in CIT, and obviously, adding to Fluid Technologies.
Operator: At this time, there are no further questions. I will now turn the call back over to management for closing remarks.
David A. Roberts: Okay. As we prepare to end the conference call, let's turn to Slide 18. We expect full year 2015 sales to grow organically in the mid- to high single digits. That doesn't include the potential contribution from LHi or Fluid Technologies. We also expect EBIT dollars and EBIT margins to show improvement and will be leveraged to our sales growth. If we're able to hold on to price at CCM as raw material cost decline, margins should show a very favorable leverage. We expect the acquisition of LHi to start to contribute to earnings late in the first quarter and throughout the remainder of the year. In the 3 to 4 months following the completion of the acquisition of Fluid Technologies, we expect the quarter to benefit from sales but remain neutral for earnings due to the acquisition accounting for inventory. Once past a few months following the acquisition, Fluid Technologies should contribute margins in the low teens. We will work to improve that performance as we implement COS, driving cost out of the business. You shouldn't expect to see any impact of COS activities in 2016, however. Corporate expenses will be approximately $54 million, with $18 million in the first quarter due to expensing of equity awards. D&A will be approximately $120 million and capital expenditures will be approximately $100 million. Free cash flow conversion will be approximately 100%. Interest expense approximately $34 million, and we are planning for a tax rate of approximately 33%. By business, I expect CCM to benefit from declining raw material cost environment, a very strong nonresidential construction market and a healthy reroofing market in both the U.S. and Europe. Please be reminded that sales will be a tough comparison in Europe in the first quarter. Sales should grow high single digits and earnings should be leveraged with the strong sales growth. How much earnings will grow would be dependent upon what transpires with the oil-based raw material cost. The plant startup costs we experienced in 2014 should be behind us. The only wildcard would be the weather. Sales in the first quarter could be impacted by severe weather in the Northeast slightly more than 1 week ago and the recent snow event in the Midwest and Northeast this past weekend. Let me remind you that the businesses postponed in the quarter is not lost. At CIT, sales should grow in the 20% range, which includes the acquisition of LHi. Organically, sales will be up mid-single digits due to the impact of the AOC program at our largest aerospace customer. EBIT will grow but will not be leveraged at the same rate as sales growth. We will have the impact of the AOC program and the influence of LHi's lower margins throughout the year. Despite that, we expect margins at the start of the year to be in the 15% to 16% range, moving toward 20% by year end. We will have startup costs of approximately $2 million for the Nogales plant in the first quarter. Early COS activities have been successful at LHi. While you won't see the improvement in our profitability early in the year, it will impact our profitability as we exit 2015. One of our early improvements from COS was the closing of a small LHi satellite manufacturing facility and moving that production into a space we freed up in the main plant. There shouldn't be any noticeable cost associated with this move, and while small, it's just an example of the improvements that we're making. At CBF, revenues will be expected to be flat to modestly higher in 2014 to 2015. We expect improvement in margins as the year progresses. Margins should be in the 9% to 10% range for the year. We will have a small amount of restructuring charges that flow through in the first quarter as we continue to streamline the cost structure, but that shouldn't be any more than a couple of hundred thousand dollars. This business needs volume, and from what we see at our largest customers, 2015 will not be a growth year. I have seen peaks and valleys in the heavy construction equipment business in my career, but I've never seen an economic slowdown like this, one that is entering in its fourth straight year of depressed sales. With CFS coming off its second record earnings year in a row, we will be expecting the same performance in 2015. We expect sales to grow at low to mid-single digits and expect margins to push towards 14% by year end. Following the FTC's approval to acquire Fluid Technologies, which I think will occur late in the first quarter, the sales of CFT will benefit from our revenue for the first 3 months of our ownership but will not contribute any benefit to the earnings line. Once the current inventory is depleted, I expect this business to contribute margins in the low teens. That's the short term. Once we get this business blended into Carlisle and we start to see the impact of COS, this business is expected to become a low-20% margin contributor. As we are blending it into the portfolio, we'll be out looking for opportunities to grow the business through acquisition. As I've said before, we're not buying this business for its $275 million of sales. It will become larger over the next few years and we'll be using the model that we utilized at CIT to grow it to a sizable business and with CFT becoming a larger sales base to start with. As I bring our call to a close, I want to thank you for attending our fourth quarter and year-end 2014 conference call.